Un Kwon-Casado: Thank you. Good afternoon, everyone, and welcome to the Fluidigm second quarter 2014 earnings conference call. At the close of market today, Fluidigm released financial results for the second quarter ended June 30, 2014. During this call, we will review our results and provide commentary on recent commercial activity and market trends. Following these comments, we will host a Q&A session. Presenting for Fluidigm today will be Gajus Worthington, our President and CEO; and Vikram Jog, our Chief Financial Officer. The call is being recorded and the audio portion will be archived in the Investors section of our website. During the call and subsequent Q&A session, we will be discussing plans and projections for our business, future financial results and market trends and opportunities, including, among others, statements regarding expectations for the single-cell biology in production genomics markets, including future market conditions, and our prospects and growth opportunities in such markets, our future product launches and other business strategies, expectations regarding future sales, revenue, opportunities, objectives and financial performance of our proteomics product line, and current estimates of 2014 revenue growth, GAAP and non-GAAP operating expenses, stock-based compensation expense, interest expense and capital spending. These statements are forward-looking and are subject to substantial risks and uncertainties that may cause actual events or results to differ materially from currently anticipated events or results such as risks relating to the integration of our recently acquired proteomics product line with our business and operations, the execution of marketing and sales strategies for our genomics and proteomics product line, intellectual property rights, the launch of new products and the manufacturing or supply of our products. Information on these and additional risks, uncertainties and other information affecting our business and operating results are contained in our annual report on Form 10-K for the year ended March 31, 2014, and our other filings with the SEC. Additional information will also be set forth in our quarterly report on Form 10-Q for the quarter ended June 30, 2014 to be filed with the SEC. We advise investors to review these risk factors carefully. Fluidigm disclaims any obligation to update these forward-looking statements except as maybe required by law. During the call, we will also present certain financial information on a non-GAAP basis. Reconciliation between GAAP and non-GAAP results are presented in a table accompanying our earnings release, which can be found in the Investors section of our website. With that, I will now turn the call over to Gajus.
Gajus Worthington: Thanks, Un. Good afternoon, everyone, and thank you for joining us today. Our second-quarter results demonstrate another period of solid financial performance within our core genomics product lines, the top line organic growth of 32%, driven by robust demand of the C1 Single-Cell Auto Prep System, and increased consumables utilization by high-volume production genomics customers. We also achieved record non-GAAP gross margins of 77%, up 300 basis points year-over-year. Finally, we made significant strides in bolstering the commercial infrastructure and improving the sales and support process of our recently acquired Single-Cell proteomics product line from DVS Sciences. We now project total 2014 revenue guidance of $112 million to $118 million, an increase from our previous range of $111 million and $116 million. We are increasing our total organic revenue guidance to $94 million to $96 million, which represents year-over-year growth of 32% to 35%, up from our previous guidance range of $91 million to $94 million. For the acquired Single-Cell proteomics product line from DVS Sciences, we are widening the range of our full-year revenue guidance to $18 million to $22 million versus our previously communicated guidance of $20 million to $22 million. We are comfortable with our bookings outlook, but the timing of revenue recognition of CyTOF 2 systems is impacted regionally and by site readiness of the customer. We are lowering the bottom end of the revenue range to account for this variability. We believe our progress in Q2 and strengthening the commercial infrastructure and improving the sales and support process positions us well for sequential bookings growth in the back half of the year for the Single-Cell proteomics product line. The single-cell market continues to evolve in line with our expectations that biological experimentation across many subfields will ultimately need to be conducted at the individual cell level. We see many positive indications that single-cell biology will be pervasive. Most important of all is the increased pace of great discoveries. In the quarter, there were two high-profile publications in nature and science, both based upon research using Fluidigm single-cell products, which revealed significant cellular heterogeneity in immunology and cancer, both with profound biological implications. They highlight the power of single-cell analysis. These discoveries would not have been possible if analyzed by conventional bulk sample approaches. At the end of the second quarter, the total number of single-cell publications citing Fluidigm technology now stands at 199, with approximately 59 publications utilizing mass cytometry technology and 10 C1 publications. In addition, our own results speak to the growth and momentum of the single-cell market. Single-cell genomics revenue grew approximately 70% in the first half of 2014 versus the first half of 2013. Our C1 unit sales volume in Q2 tied the record unit sales in Q1 and we continue to see very healthy demand in our C1 pipeline for the remaining half of the year. At the end of the second quarter, we had a total installed base of C1 and BioMark systems per single-cell research of over 400 units, and are tracking well to our goal of 700 Fluidigm systems for single-cell genomics by the end of 2015. During the quarter, we launched the C1 Open App Program, enabling researchers to develop and share new single-cell applications on the C1. Opening the C1 to custom scripts allows our users to quickly expand the platform into new areas of research, such as epigenetics and protein detection, as well as implement alternate whole transcriptome techniques. Finally, we are on track to launch our single-cell whole exome and single-cell whole genome sequencing protocols in the second half of the year. While we have built a strong leadership position in the single-cell genomics market, our acquisition of DVS Sciences catapulted us to a new level. We are now able to address the needs of single-cell biology, which we believe will require both genomics and protein-based analysis. During the quarter, we saw substantial validation of this thesis. As an example, one of our customers in Q2 created the first single-cell biology core that includes the full suite of Fluidigm products, including the C1, BioMark, and the CyTOF 2. In addition, we became aware of multiple publications in the pipeline that utilized both the C1 and the CyTOF. There are now single-cell funding programs available in the UK and Japan that we believe will benefit our entire single-cell portfolio as these program proposals not only in genomics, but also in proteomics. More specifically, we have visibility into several large grant applications that include the C1, BioMark, and the CyTOF 2. Ultimately, we believe single-cell researchers will need access to both genomic and proteomic access methodologies and we aim to provide the best solutions for both. Single-cell biology is evolving rapidly and as discoveries are made new questions surface, and this in turn translates into needs for new solutions. As researchers have begun to understand the role of cell to cell heterogeneity in all manner of healthy and diseased tissue, they are now realizing that cell to cell communication and the effects of the local leash play a profound influence on the behavior of individual cells. Thus the next major evolution in our overall single-cell biology strategy will be to address in situ single-cell analysis, enabled by imaging mass cytometry. That is to assess single-cell protein expression directly from tissue and thus to capture the effect cells have upon each other and the influence of their native environment. This exciting extension of our mass cytometry technology, which was published in Nature Methods earlier this year, is a combination of a sample handling module for the CyTOF 2 platform. This enables high parameter single-cell or even sub cellular tissue imaging analysis of over 30 markers simultaneously. This capability was a key component in our strategic interest to acquire DVS Sciences and its mass cytometry technology. Current workflows for single-cell genomics and proteomics disassociate samples into individual cells and suspension, and thus lose cellular context information. The tissue-based samples will be important to validate and understand the spatial relationship of single cells relative to other cell types. The incumbent immunofluorescent imaging techniques are limited in the number of different protein markers that can be stained and visualized at a time, half a dozen at most. We are in development of this platform and expect to commercialize and introduce the imaging mass cytometry sometime within the next calendar year, depending on feedback received from our early access customers. Today, we announced an early access program, which will provide a limited number of researchers access to this technology in order to help drive the new science and establish the impact of this breakthrough technique. In the near term, as we highlighted at the beginning of the call we are focused on improving the commercial support and sales execution for the single-cell proteomics product line. The sales and support management of this product line is now directly managed by our established channel, and we have begun filling key sales, marketing and support positions to position us well for growth into the next year. Over the last three months, we began implementation of number of initiatives to ensure our customers’ experience with the CyTOF technology is delightful. This includes enhanced post sales field application support, expansion in the number of antibody-based assays and panels, and improved training and preinstalled customer support. Our production genomics business also continues to be a key driver of our top line growth and diversification of our overall revenue mix in terms of customer and product type. In the quarter, our high-volume production genomics accounts increased consumables utilization, which helped to drive our organic consumables revenue growth of 51% in the quarter. Consumables revenue driven by production genomics applications represented approximately 45% of our total consumables revenue in the quarter, and was up approximately 65% year-over-year. An underlying driver to our growth has been our success in penetrating and scaling with the growth of clinical laboratory accounts. In the quarter, approximately 20% of our overall revenue was driven by clinical laboratory accounts. In addition, approximately half of our new production genomics instrument sales were driven by repeat purchases by existing customers, pointing to the scalability of our solutions as our customers grow their enterprises. We have recently augmented our North American sales organization with sales managers solely focused on identifying and securing new production genomics accounts, given the fundamentally distinct sales process versus our research oriented single-cell biology target customers. In closing, we believe our first half results demonstrate the strong underlying demand for our products, as well as the durable nature of our diversified business model. Second, we are energized by the progress achieved in our single-cell proteomics product line in the quarter, and are committed to executing on our strategy and delivering on our goals for the second half of the year. Finally, we are confident our pillars in proteomics and genomics will provide the foundation to reach across the continuum of single-cell biology and position us well for market leadership and long-term growth. I will now hand the call over to Vikram for a more detailed review of our financial results.
Vikram Jog: Thanks, Gajus, and good afternoon, everyone. I’ll now walk you through our second quarter 2014 operating results and highlights. In the second quarter of 2014, Total revenue of $27.6 million was up 58% year-over-year, with organic revenue up 32%. Instruments and consumables both delivered solid growth in the quarter. Instrument revenue grew 51% year-over-year to $15.4 million. Excluding contribution from the recently acquired CyTOF 2 system, instrument revenue grew 20% year-over-year on an organic basis. Single-cell genomics continues to be a strong growth driver for the company and for instrument revenue in particular. Approximately 70% of the BioMark systems sold during Q2 were motivated by single-cell research, and approximately 20% of C1 system sales were bundled with a BioMark system, consistent with our historical pattern. Our total consumables revenue, both IFCs and assays, which include antibodies, was $12.1 million during the second quarter, up 71% year-over-year and 51% organically, driven by production genomics applications. Our genomics analytical pull-through in the second quarter tracked within our historical range of $40,000 to $50,000 per system per year, and was slightly higher than our range of $15,000 to $25,000 per system per year for our genomics preparatory systems. Proteomics analytical pull-through tracked slightly above its pre-acquisition historical range of $50,000 to $70,000 per system per year. Total single-cell proteomics revenue in the quarter was $4.6 million. On a pro forma basis, including $3.8 million recognized before the close of the acquisition, total single-cell proteomics revenue was $11.2 million in the first half of 2014. Our total instrument installed-base increased to 1,147 instruments at the end of the second quarter of 2014 with 666 analytical systems, including 81 proteomic systems, and 481 preparatory systems including C1 systems. Geographic revenues as a percentage of total product revenues for the second quarter were as follows; United States 52%, Europe 27%, Japan 1%, Asia-Pacific 17% and 3% other. Geographically, we saw strength across all our markets, excluding Japan in the second quarter. While Japan revenue was weak in the quarter, we believe this is more reflective of seasonality in customer buying patterns and a uniquely favorable funding environment in Q1. Notably, Japan sales grew 150% in the first half of the year, compared with the same period in 2013. The percentage of product revenue from Japan was 9% in the first half of 2014, which is consistent with the historical annual trend of 7% and 10% for 2013 and 2012 respectively. We believe the single-cell biology market in Japan is healthy given the growing interest from the scientific community and recent government-sponsored initiatives dedicated to single-cell omics analysis. Net loss for the quarter was $12.7 million compared to a net loss of $4 million in the prior year’s second quarter. Adjusting for stock-based compensation, depreciation and amortization, interest expense and other acquisition-related non-cash charges and benefits, non-GAAP net loss for the second quarter of 2014 was $1.7 million compared to the same number in the second quarter of 2013. Please refer to the reconciliation of GAAP to non-GAAP information attached to the second quarter 2014 earnings release for details. GAAP product margin was 64% in the second quarter of 2014 versus 72% in the year ago period. After adjusting for acquisition-related non-cash charges, including amortization of developed technology and inventory reevaluation. Stock-based compensation and depreciation, non-GAAP product margin was 77% versus 74% in the year ago period. The increase is in part due to lower IFC costs resulting from higher production volumes related to higher sales, increased instrument margins mainly due to a higher mix of C1 instruments which have a high margin than other instruments and favorable sales volumes and average unit sales prices for assays and reagents. In addition, there was a product mix shift from instruments to consumables versus the year ago period, which have higher margins. Turning now to OpEx, research and development expenses were $11.4 million in the second quarter of 2014, compared to $5 million in the second quarter of 2013 and $7.6 million in Q1 2014. The year-over-year increase in research and development expenses was primarily driven by the acquisition of the single-cell proteomics product line, headcount additions and materials used in R&D projects. SG&A expenses were $18.7 million in the second quarter of 2014, compared to $11.6 million in the year ago period and $15.3 million in Q1 2014. The addition of the single-cell proteomics product line contributed approximately 35% of the year-over-year increase. Integration expenses of approximately $1.1 million, increased headcount, tradeshows, promotions and professional fees drove the remainder of the increase. Stock-based compensation expense were $5.9 million in the second quarter of 2014 compared to $1.7 million in the second quarter of 2013, and 3.4 million in Q1 2014. Moving onto the balance sheet, total cash, cash equivalents and investments were $157 million at the end of the second quarter compared to $158.3 million at the end of Q1 2014 and $83.5 million at the end of Q1 2014. Net cash used in operating activities, excluding cash outflows related to the acquisition was $3.8 million in the first half of 2014 versus $3.5 million in the first half of 2013. Accounts receivable were $13.3 million compared to $18.8 million at the end of the first quarter of 2014. DSO at the end of the second quarter of 2014 was 43 days compared to 66 days in Q1 2014. Inventory was $16.4 million up from $13.4 million at the end of the first quarter of 2014. The sequential increase was mainly due to higher instrument inventory. Moving onto our financial guidance for 2014, we are increasing our 2014 total revenue guidance to be between $112 million to $118 million, up from our previous range of $111 million to $116 million. Operating expenses on a GAAP basis are projected to be between $134 million and $136 million, in line with the guidance provided in our last earnings call. Non-GAAP operating expenses, excluding approximately $11 million of estimated acquisition-related expenses, $19 million of estimated stock-based compensation expense and $4 million of estimated depreciation and amortization expense are projected to be between $100 million and $102 million. Stock-based compensation expense is projected to be between $21 million and $22 million, including $9 million related to assumed share-based awards from the DVS acquisition. Substantially all of our stock-based compensation expense is reflected in operating expenses. Interest expense is projected to be $5.3 million, and finally capital spending is projected to be between $11 million and $13 million. 2014 CapEx projections include expenditures related to the move and expansion of our Singapore manufacturing facility, and expenditures related to the newly acquired proteomics product line. And with that, I’ll now turn the call over to the operator to open it up for questions.
Operator: (Operator instructions) And our first question comes from Dan Leonard of Leerink. Please go ahead.
Dan Leonard - Leerink Partners : Thank you. Gajus, I was hoping you could elaborate a bit more on lowering the bottom end of your DVS guidance? Presumably you're more than familiar with revenue recognition dynamics in instrument business then when you gave the guide. So, I'm wondering if there's something more to it than that.
Gajus Worthington: Sure. Yes Dan. So it has to do with regional factors and customer readiness. So when you get this close to the end of the year and with $600,000 estimate you are counting individual opportunities really, and depending on where you get the orders from, if they come from Asia, they come from China, it can take six months before you can even get the system into the territory. So when you get close to here we have better visibility into where the orders are actually going to come from. There is certainly the potential that a number of these would come from territories where we won't be able to get the instruments into them, into those customers during the quarter. In addition, we have been advised by some customers and this is new information that some of them don't want delivery until early 2015. So there's some new information there from three months ago both in terms of the geographic – the potential geographic complexion of our order, where orders will come from as well as individual updates from individual customers. That said the book – our orders outlook is certainly consistent with the revenue guidance that we provided and it will just depend on where those orders come from.
Dan Leonard - Leerink Partners: Got it, and as my follow up – for my follow up, is there any book-to-bill you could communicate to us to give us a bit more comfort on the trend you're seeing internally on CyTOF demand?
Gajus Worthington: Dan we generally don't provide book-to-bill. That maybe something that we could do in the future, but it is not something we're prepared to do right now.
Dan Leonard - Leerink Partners: Okay. Thank you.
Operator: Our next question comes from Bill Quirk from Piper Jaffray. Please go ahead.
Bill Quirk - Piper Jaffray: Great, thanks. Good afternoon, everybody.
Gajus Worthington: Hi Bill.
Bill Quirk - Piper Jaffray: I guess first off, guys, can you elaborate on the systems side of the business. I guess when I dropped the numbers in, it does look to me like perhaps some of the segments were coming in much better than they had historically come in or slightly above. I guess maybe my math was wrong here, but can you elaborate?
Gajus Worthington: Yes, well for analytical systems we were within our historical range of $40,000 to $50,000 per system per year. For preparative systems we were above our range of $15,000 to $25,000 per system per year. Now, as you look at by market segment as I mentioned earlier we did have a strong demand out of our production genomics customers, and they tend to be very high throughout, and we have more and more of these customers that are using preparative products for their high throughout sequencing in particular, and that would be the Access Array. So Bill, I wouldn't say that there was something that was dramatically different than our historical ranges but the performance was certainly good.
Bill Quirk - Piper Jaffray: Got it. And then can you speak to the sustainability of this Gajus? We've had a couple of quarters now in a row where the production side of the business has really ramped up. So, I get it. Two quarters does not necessarily make a trend, but we're certainly driving in the right direction.
Gajus Worthington: Yes, well as you probably know Bill we have been talking about production genomics for – certainly for more than two quarters as we pointed to that as one of the growth drivers. So it has been a growth driver consistently for quite some time certainly more than the past couple of quarters. I think the last couple of quarters you've seen it do particularly well, but to get your question we have penetrated a very small portion of the overall market that we believe that we can with our products. We go after very specific segments. So there are clinical segments that we go after. There is a bio-segment that we go after. There is a sample ID segment that we go after and within those segments we have very low penetration. These are existing markets where we are upending, established, incumbent technology. So, you can size the genotyping portion of the available market in the range of say $280 million to $300 million, [Indiscernible] $285 million. That's a number that we provided previously. So that doesn't count obviously next generation sequencing, nor does it count gene expression, which we also have production customers for. So we have very low penetration up at this point and we continue to see strong demand for our products. So we believe that this is sustainable and we're investing in it. We're investing not only in the channel but we are also investing in terms of product development.
Bill Quirk - Piper Jaffray: Very good. Thank you, guys.
Gajus Worthington: Sure.
Operator: Our next question comes from Peter Lawson of Mizuho Securities. Please go ahead.
Peter Lawson - Mizuho Securities: Hi, guys. Just on the DVS guidance, just wonder if you could talk through that again? What gives you the confidence about maintaining the top end of the DVS guidance range?
Gajus Worthington: Hi Peter. It really just has to do with where we think our orders can come in, and as I said earlier it depends on their complexion as well geographically and from which individual customers, we have confidence in and where orders are going to come from, but confidence or order outlook generally, what we don't know is exactly where those are going to come from on the geographic basis and as I said earlier in some cases it will be individual customers, we are likely to receive orders from that we won't be able to ship to in this year.
Peter Lawson - Mizuho Securities: And then just on the CyTOF, did you place more in Q2 versus Q1?
Gajus Worthington: I don’t think we have broken out instrument installation. Revenues for Q2 were $4.7 million, which was lower than the pro forma revenues in Q1. Our recognized portion of revenues in Q1 was if memory serves about $3.8 million during the quarter.
Vikram Jog: Post-acquisition it was $2.8 million.
Gajus Worthington: Post-acquisition, $2.8. Sorry, yes $2.8 million. So Q4, pardon me, Q2 revenues for the CyTOF line were actually down from Q1 and that's now a surprise to us. That's what we were certainly telegraphing when we lowered guidance during the last call. We expected the first half to be the most challenged part of the year with respect to landing new orders.
Peter Lawson - Mizuho Securities: And then from the number products we have, CyTOF placements? How many have both instruments?
Gajus Worthington: How many of our Cytof customers have both Cytof and the C1, is that the question?
Peter Lawson - Mizuho Securities: Yes. Exactly.
Gajus Worthington: They are a low number, probably at this point literally I would – little – a handful certainly less than 10.
Peter Lawson - Mizuho Securities: Thank you.
Operator: Our next question comes from Sung Ji Nam of Cantor. Please go ahead.
Sung Ji Nam - Cantor Fitzgerald: Thank you. I was wondering, in the past you talked about the CyTOF near-term opportunity being the roughly $300 million high end flow cytometry market, and I was wondering with the addition of the new imaging mass cytometry, does that change that potential market -- near-term market size as well?
Gajus Worthington: It does. It opens up a whole new market Sung Ji. It's a -- this is a capability that would allow the measurement of protein expression in tissue. So it opens up a whole new research market. It also potentially could open up new clinical applications as well. It is completely different from flow cytometry. So we haven't provided an estimate for the size of that market as you probably can imagine, we've looked at it internally, but as we get closer to product launch, then we'll be providing that information, but it definitely expands the applicability of the mass cytometry technology meaningfully.
Sung Ji Nam - Cantor Fitzgerald: Great. And then my follow up is I was wondering before the CyTOF orders that you are looking at for the second half of the year, are they mostly coming from your current customer base, or I was wondering if these are new customers that you're acquiring?
Gajus Worthington: It's a blend, more than certainly a majority of new customers, but there are repeat buyers in there as well or other potential buyers in there as well.
Sung Ji Nam - Cantor Fitzgerald: Thank you.
Operator: Our next question comes from Doug Schenkel of Cowen & Company. Please go ahead.
Doug Schenkel - Cowen & Company: Hi. Good afternoon. So, the APAC revenue number was pretty huge relative to historical norms. Could you just provide some color on the drivers and also the sustainability of that type of growth and strength?
Gajus Worthington: Yes. So the same applications that have driven demand in other territories are driving demand in APAC, including production genomics, which historically has been a lesser factor in that territory. There is still lot of territory in APAC where – that we go through distribution in some cases that is extremely effective, in other cases it is not as effective as a direct channel. In general distribution is not as effective as a direct channel. So, just by investing in that territory with direct sales footprint we believe that we have the means to continue to grow in APAC and we're quite bullish about our prospects there, and as was mentioned, and this is Japan now, but Japan following the UK, we think that other countries will follow suit subsequent to Japan. Japan as you probably remember from our last call has announced funding for single-cell research that includes both proteomics and genomics. We believe that there will be other announcements in other countries, perhaps in other parts of APAC as well that will increase funding availability there. So we feel very good about our prospects in APAC.
Doug Schenkel - Cowen & Company: Okay. And the sequential instrument growth was I guess a bit less than the norm. Sequential instrument revenue growth was a lot less than the norm and clearly this was more than offset by a really strong consumables revenue number, in fact, I think consumables revenue as a percentage of sales was the highest it's been since back in 2012. So, I'm just wondering if you do want to talk a little bit about how you're thinking about product mix over the balance of the year in the context of full year guidance?
Gajus Worthington: Yes, we're not thinking about, we don't provide guidance on an instrument consumables basis, but I do want to note that you may remember that one of the things we experienced in Q1, which was unusual, two things that were unusual for us that would cause it to look a little different than previous Q1 to Q2 comparisons. The first was that we had a really strong quarter in Japan. The second was that we just – we had strength, and unusual amount of strength throughout all territories, which was an important part that led us to sequential growth in Q1 over Q4, something that the company has never experienced in its history. So that's part of the comparison here. We had just a super strong Q1.
Doug Schenkel - Cowen & Company: Okay, and the flow cytometry market, as we've talked about it in the past, you're arguably going after a broader market and one with more entrenched and larger competitors than you've faced in single-cell genomics thus far, given this assertion and the observation that it seems like you've probably placed about, call it five instruments per quarter plus or minus, I am talking about CyTOF since the acquisition, which is below the quarterly average pre-deal rate. Could you just talk about how you're talking about augmenting and/or changing your sales approach and, with the new imaging product, how do you think about the need to at some point expand your commercial reach?
Gajus Worthington: Well, our acquisition of DVS, one of the things that we implemented from the beginning is a change in the commercial practices and this is across the board, the techniques that we use in our genomics commercial channel whether that be in sales, marketing, technical support what have you, we've honed over a number of years now, and those same techniques we are now starting to apply to the proteomics line, and we think that that's going to be very effective, whether we are competing for funding that might go to a flow cytometry versus a Cytof or whether we are competing for something that's brand new. We're no stranger to that circumstance. As you probably remember we launched the BioMark system and grew that product line. There was always some amount of latent competition for either 7900s or the occasional Biotrove or other platforms [speed expresses] what have you. So we're a stranger to that. This is not really not that different and what is also not different for the Cytof versus a flow cytometry is the BioMark was for say conventional real-time PCR equipment is that it is substantially broader. Its ability to serve a biological – important biological information. That's really the key as a fundamentally enabling attribute. So all that said one of the areas for growth for us and this was an important part of our thesis for the acquisition was that our genomics customers were going to need access to this information, and as I noted during the prepared remarks, that we are seeing evidence of this. We see some very strong data that has been collected, really important data that has been collected by multiple customers and now submitted for publication that validates our premise that there will be demand from our genomics customers for this platform. So there is the conventional, I would say the legacy positioning that was I will say more, perhaps more directly positioned versus flow cytometry, then some of that will persist. We also see really important new opportunity in single-cell biology that is a mix of customers that would have bought conventional flow cytometry equipment, but then also have been our genomics customers.
Operator: We would like to thank everyone for attending our call this afternoon. A replay of this call will be available on the investors section of our website. This concludes the call, and we look forward to the next update following the close of the third quarter of 2014. Good evening, everyone.